Arne Møgster: I would like to welcome you all to Austevoll Seafood First Quarter Presentation. I will start this session by giving the highlights of the quarter. I will take you more detail through the different segments we are operating within. Britt Kathrine Drivenes, our CFO, will take you through more in detail the financial figures for the quarter. And I will end this session by giving our view on the different markets we are operating within. So starting up, we have had a quarter with quite good activity, in particular in the pelagic segments, and we have also continued the well-performing biological performance in Leroy. So in first quarter, we have a revenue of NOK 9.8 billion and EBITDA of just north of NOK 1.9 billion and an EBIT of just north of NOK 1.4 billion. We have a strong balance sheet, total asset of NOK 53 billion, equity ratio of 55% and a net interest-bearing debt of NOK 7.3 billion. If you also include the 50% share we have in Pelagia, you can see on our EBITDA, we are passing the NOK 2 billion level, which is one of the best quarter ever for our group. And the difference from last year is that -- what I would say mainly is that Leroy is delivering an EBITDA of NOK 260 million better and it's mainly explained by, I would say, better biological performance, the slaughter volume is up with approximately 50% and also lower mortality and higher quality of the salmon we have produced in the quarter, and delivering NOK 260 million more despite that average spot prices is NOK 19 per kilo lower in this quarter versus same quarter last year. Pelagic segment is more or less in line with last year, some movements between the different companies, but we will come back to that later. And confirming the dividend proposed by the Board to be NOK 6.5 per share, up from NOK 4.5 per share last year. Austevoll Seafood is all about volumes. This year, we are aiming to catch over 500,000 tonnes of pelagic fish on our own quotas, mainly in Chile and in Peru. We are aiming to receive approximately 1.9 million tonnes of pelagic fish on our factories. With Leroy Havfisk, Leroy Norway Seafood, we are aiming to produce and catch approximately 80,000 tonnes of whitefish. And hopefully, we are also reaching the aim to be very close to 220,000 tonnes of slaughter volumes in 2025. Starting up going through the different segments. Peru are in the middle of the first season in 2025. The biomass detected on the research is one of the highest we have had lately. We have to go back to 2013 before we had a higher biomass than we are seeing this season and back to 2018 to have a higher quota than what we have seen this season. I would say normally, first quarter is, I would say, a low catching quarter. But I would say we are doing considerably better in this quarter versus the same quarter last year, where we were in the tail of the El Nino. We have had a good activity in the South, where we have received approximately 66,000 tonnes. We have also ended the second season with approximately 36,000 tonnes in the Centre/North. And also, you can see that the mackerel fishing has been better this quarter versus same quarter last year. But I would say it's a seasonable low quarter. So it's more interesting to talk about the second season and of course, the second quarter and the performance so far in the first season. So quota was 3 million tonnes. That means that in our case, we are catching -- we are supposed to catch 210,000 tonnes with our 7% quota. So far, it's caught around 1.2 million tonnes of the total 3 million tonnes in Peru, and we have caught close or just passed 90,000 tonnes. I would see yield on both fishmeal and fish oil is normal, [23.5] fishmeal yield, approximately just south of 3% on fish oil yield. So the start has been good, and we have had quite good activity around all our 3 factories in the Centre/North, Coishco, Chancay and Pisco. In Chile also, record high catching -- catches in first quarter, 55,000 tonnes versus 47,000 tonnes same quarter last year, which were also a very good quarter. So high production into frozen products, and we came into the year with a quite high stock. So it's also a bit pressure on margins. Also, the sardine fishing recovered. So we have purchased, I would say, a normal level around 27,000 tonnes in first quarter. So far this year, it's around 36,000 tonnes. And also, if you look at the jack mackerel, we are now surpassing 64,000 tonnes. So temporarily now, the vessels we are having is lying idle waiting for transferring of the quota for the high seas vessel normally catching outside 200 miles. Still unclear how the distribution of the quota will be divided between coastal vessel and the industry vessel. Best estimate today is that it's going to be 70% to the industry, down from 90% and up from 10% to 30% for the coastal vessels. And we don't know if this is going to be valid this year or if it's going to be delayed until next year. So I would say how it looks today is that the quota we had last year will be the same for 2025, around 64,000 tonnes. And this is what we have been guiding on, but it is a potential upside of increasing our own quota to 81,000 tonnes if the decision is being delayed for 2026. North Atlantic quotas down with approximately 500,000 tonnes, and this is the basis for the raw material intake for Pelagia. So we are also expecting lower volumes, both for human consumption of FEED and FOOD segments in Pelagia. So starting off, looking at Pelagia, had a quite good start of the season in fishmeal and fish oil, mainly based on blue whiting, but also trimmings from pelagic, whitefish and salmon and a volume of 332,000 tonnes in first quarter, down from 380,000 tonnes same quarter last year, and we are estimating volumes 50,000 tonnes in 2025, down from 2024. When it comes to the FOOD segments, we have had catches on herring and catches on Atlantic mackerel, which we have produced in our food factories, and it's been executed in a quite good manner and delivered a better result first quarter this -- this year versus same quarter last year. So all in all, looking at Pelagia, I would say that result is more or less in line and revenue of NOK 3.7 billion, EBITDA of NOK 20 million above first quarter last year, just below NOK 300 million and EBIT of NOK 175 million, Then we are coming to the salmon, and it's quite pleasant for us to see that the measures we have done on both genetics, roe and smolt and also how we are operating in the sea has improved our biological performance. So despite spot prices is down with NOK 90 per kilo, we are delivering, I would say, considerably better in Leroy compared with the same quarter last year, NOK 260 million up on EBIT. Leroy Havfisk is lower quota. I will come back to that, but also compensated on higher prices. And we are delivering quite good in our VAP sales and distribution, better than last year, which also was a very good quarter. So volume-wise, 38,000 tonnes, it's up with approximately 45%. It's divided with 7,000 tonnes in Leroy Aurora, 16,000 tonnes in Leroy Midt and 15,000 tonnes in Leroy Sjotroll. EBIT per kilo, all-inclusive, NOK 23.5 per kilo, down from NOK 25 per kilo. But as I said, on much lower spot prices. EBIT per kilo divided by the different geographical areas is approximately NOK 30 per kilo in the North, NOK 32 per kilo in the Midt and also NOK 18 per kilo in Leroy Sjotroll. So all in all, we are improving our performance, lower mortality, better growth, higher slaughtering volume and also better quality on our salmon slaughtered. Maintaining our guiding on 2025 volumes, 195,000 tonnes in Norway and expecting with our 50% share of Scottish to reach a level of 211,000 tonnes in 2025. When it comes to the whitefish, I would say we are delivering -- if you look at our inventory, we had first quarter more or less on the same level, as we did last year in the first quarter 2024, but also based on a lower share of the cod quota, which is the filet mignon of the whitefish sector. So half of the cod fish is quarter-to-quarter remaining -- or leaving the remaining quota on the same level, as it was in 2024. So you can see it's a drop of 32% of cod quota in 2025 and Haddock quota is down by 2%. Saithe quota is also down, but it's been compensated by cod prices, which has been 35% higher in this quarter. Haddock quota 60% higher in this quarter and Saithe quota -- Saithe prices has been approximately 100% up versus same quarter last year. Then I will give the floor to Britt.
Britt Drivenes: Thank you, Arne. We start by summing up the raw material intake. And as you can see, there has been an increase in the volumes in South America, and that is mainly because there has been a very good fishing going on in the southern zone of Peru, but also a good start of the year for the fishing activity in Chile. In the North Atlantic, there is some decrease in the raw material intake, and that is subject to the decrease in quotas in that region. There has been a very good biological performance within salmon and trout in 2024 and also into 2025, and we have a higher slaughtered volumes in first quarter this year compared with same quarter last year. Arne has taken you through the highlights. So I will not repeat, but this graph gives a very good picture of where our -- where the increase in revenue and earnings are coming from. And as you can see, Leroy Seafood Group contributes the majority of that with the Austral Group as #2. Looking at first quarter revenue of almost NOK 9.8 billion, up 17% from NOK 8.4 billion. EBITDA adjusted of just above NOK 1.9 billion, up from almost NOK 1.7 billion. And we have some increase in our depreciation, and you have probably seen that we have had an investment program going on, especially within Leroy in new technology and also improvement in smolt quality and the facilities within whitefish. Looking at the line income from associates, that is NOK 35 million this quarter, down from NOK 62 million. Arne has already been through Pelagia in the beginning of the presentation, and they have had some increase in their earnings in the quarter. Looking at Scottish Sea Farms, they have had a decrease in their earnings in the quarter, and that is because of the substantially lower price achievement first quarter this year compared to the same quarter last year. The slaughtered volumes are up, and they have also had a very good biological performance. This gives us an EBIT, including income from associate of a little bit above NOK 1.4 billion, up 17% from NOK 1.2 billion same quarter last year. I have to mention this fair value adjustment related to biological asset this quarter because it's quite substantial and it's negative. It's minus NOK 1.8 billion. In same quarter last year, it was positive with NOK 62 million. So this gives a negative operating profit in the quarter of minus NOK 464 million. Looking into profit before tax, and if we take it before the fair value adjustment, it's NOK 1.258 billion, up 23% from NOK 1 billion in first quarter last year. However, due to the negative biomass adjustment, we have a profit before tax, which is negative minus NOK 610 million, and the net profit is also negative, minus NOK 195 million. And this gives close to 0 earnings per share, but earnings per share, excluding the biomass adjustment is NOK 2.70. I would recommend that you go into the webcast of Leroy to have some further information of their first quarter, but we can sum up here. The revenue was close to NOK 8 billion, up from NOK 7.1 billion. The increase in revenue was 12%, and that is -- that reflects a higher slaughtered volumes of salmon and trout in the quarter, but also higher sales volume within the VAP, Sales and Distribution segment. Within wild catch, there has been reduced catch volumes because of the reduced quotas, but there has been a very positive price achievement in the quarter, which has, to some extent, compensated the lower quotas. EBITDA adjusted came in just below NOK 1.5 billion, up from NOK 1.2 billion same quarter last year, and the EBIT was NOK 1.049 billion, up from NOK 843 million. [Technical Difficulty] And looking at Austral Group, as normal, there is a lower activity in first quarter. However, we are very glad to see that this year, it has been a good activity in the southern zone of Peru. And the plant in South in Ilo has bought over -- close to 67,000 tonnes of raw material in first quarter this year, and they had 0 raw material in the same period last year. The sales volumes for fishmeal, fish oil and also frozen and fresh products are substantially up compared to same quarter last year. However, the price achievements are down. For fishmeal, the prices are down close to 24% and for fish oil, 69%. That said, it was a very low volume of fish oil sold in first quarter last year. The revenue in first quarter was a little bit above NOK 1.1 billion, up from NOK 570 million in first quarter last year. EBITDA of NOK 187 million and EBIT of NOK 126 million, up from NOK 57 million in first quarter in 2024. FoodCorp has also had a very good start of the year. They have got almost 55,000 tonnes of their own quota of horse mackerel. In addition, they have purchased sardine and anchovy, a little bit over 27,000 tonnes. Also here, we have had increased sales volume of finished products and the same pattern, prices are down, fishmeal down by 21% and frozen down by 9%. And we have also seen some pressure on the prices for frozen in the start of second quarter. Revenue of NOK 425 million, EBITDA of NOK 130 million and an EBIT of NOK 150 million, approximately in line with last year when the EBIT was NOK 108 million. Looking into the small salmon farmer on the Western Coast called Kobbevik og Furuholmen Oppdrett and they have slaughtered a substantially lower volume in first quarter this year compared with last year, 1,900 tonnes, down from 3,200 tonnes. They sell all their fish in the spot market, and the spot prices are down with NOK 19 per kilo year-on-year. We have also seen an increase in cost. So their EBIT per kilo is NOK 27 in first quarter this year, down from NOK 33 same quarter last year. Br. Birkeland, the operation there now are the 2 fishing vessels fishing for snow crab. Last year, they also had the 2 pelagic fishing vessels. Those 2 vessels were sold in June in 2024. The 2 vessels fishing snow crab has caught and produced 635 tonnes finished products in the quarter. Last year, they produced 825 tonnes in first quarter. Of this production of 635 tonnes, they have sold 585 tonnes and the prices has almost doubled compared with first quarter last year. So this is giving very good earnings for the company. The revenue was NOK 159 million, EBITDA of NOK 66 million and the EBIT NOK 62 million. And last year, the earnings and revenue, then it was the 2 pelagic vessels that contributed to the majority of the figures. But that said, they have finalized the quotas now in April. So the vessel -- those 2 vessels will have no further activity for the remaining part of 2025. Looking at our total assets by the end of March, it was NOK 53 billion, almost at the same level as by end March in 2024, but down from December 2024. And just to comment one of the line, we have talked about this fair value adjustment related to biomass, and you can see that is substantially down compared with the end of 2024. We have a strong balance sheet and equity ratio of 55%. The net interest-bearing debt by end March is NOK 7.3 billion. There has been a very good cash performance in first quarter. The cash from operating activities was a little bit above NOK 1.5 billion, up from close to NOK 600 million in same quarter last year. Some increase in the net investment in the CapEx, and as I've mentioned already, we have a program going on in Leroy for some additional CapEx in addition to the normal maintenance CapEx. So cash from investing activities, minus NOK 533 million, up from minus NOK 484 million same quarter last year. Looking into financing activity, we have paid down quite a lot on the short-term credits. So cash from financing is minus NOK 1.5 billion, and that gives us an end position with cash in the quarter of NOK 5.2 billion.
Arne Møgster: Then I will end this session by giving our view on the different markets we are operating within and starting with the fishmeal market. So by the end of week 17, you can see that total increase from the largest producers of fishmeal in the world is up with 5.4%, but it's mainly driven by the increase from Peru with an increase of 20%. You see prices has been, I would say, on high-quality fishmeal, just north of $1,600 per tonne. And there is a $240 per tonne discount on lower quality fishmeal. And again, looking at the main market, China stock situation at the moment, is up 13% versus same period last year, just north of 300,000 tonnes. But the offtake is quite good, just below 27,000 tonnes a week at the moment. And you can see that the prices in China is higher than the Peruvian prices, stimulating to the increased trade. When it comes to fish oil, you also see that the fish oil production is up approximately 17% versus same period last year and it's mainly driven again by Peru, which is up with 54%. It's been quite good seasons, both in terms of volumes and yields, the latest 3 season, including the one we are having now. So you can see also it has an impact on prices for feed purposes now in Peru is traded around $2,600 per tonne with a premium of approximately $700 per tonne, $800 per tonne into the omega-3 grade. When it comes to the Atlantic salmon supply, we finally have had a very good year, and we are expecting an increase of 6.4% globally. And you can see in Norway is up by 6.7%. And I would say that the growth all over Norway has been very good in the first 4 to 5 months. So if the growth is going to be in total 6.7%, we are expecting that the next coming months to the end of the year is going to be more or less in line with how it was in 2024. We are in a situation now where we have a lot of volume. We are building market. And looking at the expected growth next year, we also feel we are in a good position also for prices to recover by the end of 2025 and also into 2026. Prices considerably lower this season versus last season same year, both first quarter and so far into the second quarter. And the main reason for that is, again, it's been much higher slaughter volume and also the quality of the fish we have been slaughter in Norway has been considerably better than same period last year. Markets are good, consuming on the lower prices. EU, 6%; other markets driven by China, up 5% and U.S. market still important for the consumption of salmon, up also 6%. So in the end, we are happy with the performance in the first quarter when it comes to the salmon activity. We're also seeing so far positive development into second quarter. And again, we have the highest net production in sea in the first quarter, reduced modality, the client cost and also have a higher superior share. So all in all, in terms of the biological performance, we're also expecting a good development into the second quarter. The reduction in whitefish quota has been compensated, I would say, so far with higher prices for the main species, which is a bit better than what we expected in the beginning of the year. South America, first season is well on its way, 3 million tonnes so far, 1.2 million tonnes is caught. In our case, we have caught just over 40% of our expected quota. And it is also going to be exciting in the next month to see the development, how the fish is going to be distributed between coastal and industry vessel in Chile and from when it will have an effect. Pelagia delivering once again, a good quarter, expecting a bit lower volumes also going forward. But second quarter is normally a seasonable low production quarter, and we are making our sales ready for the [indiscernible] sanction fishing. It's going to start up with -- approximately within -- in third quarter. So that was what we were thinking to say, and thank you for listening, and have a good day.
End of Q&A: